Ana Luísa Virgínia: Good morning ladies and gentlemen. And thank you for joining this call. As a reminder, the set of materials including the release and a slide presentation, are available in our corporate website. From this quarter on, you will also have available in our website a factsheet that adds a bit of color on our activities to the release. Our first half performance confirms the remarkable work done by all our teams in preparing themselves to deliver on their purpose and targets against the difficult and unstable pandemic context. Dynamic and competitive business models drove strong sales performance and improved value drivers in the first six months of the year. Consolidated sales were up by 6.3% or 8.8% at constant exchange rates, and they're fine by the performance of all our banners. Biedronka grew throughout the period by successfully meeting consumer needs at all moments, innovating on its assortment and crafting relevant campaigns to capture market opportunities. As a result, our Polish banner was able to reinforce the preference of consumers both in the difficult first months of the year, when a new wave of COVID-19 infections hit Poland and in Q2, when the pandemic context improved, and consumers felt safer to visit the stores more often. The banner also benefited from an overall positive consumer demand and good weather in the second quarter. Pingo Doce and Recheio worked hard to continue mitigating the impact of the market constraints that still affect retail and particularly directed activities. After a strict lockdown in Portugal in the first quarter of the year, both banners returned to growth as the restrictions eased and the comparison with prior year became less demanding. Ara that faced again in Q2 a challenging context, delivered consistently well throughout the periods, proving its capacity to build a solid position in the Colombian market. Group EBITDA grew ahead of sales by 12.6% or 15.5% at constant exchange rates. This very positive evolution reflected sound top line growth, accretive margin/mix management and cost discipline. Operating in the market in a responsible and sustainable way is a priority for all our companies. In this respect, I would like to highlight just a couple of important developments. We are committed to building a stronger company in terms of our human capital, and we are mindful that the effects of the pandemic will likely continue. We have therefore increased the proportion of our employees with permanent contracts to 70% of the group workforce and further invested in employee support compared with the same period last year. Under our commitment to contribute to a forest positive future, we have continued to take decisive steps, such as joining the Colombian Government's Voluntary Agreement to fight Deforestation, ensuring the plantation of over 58,000 trees under the Serra do Açor Forest project in Portugal, and continue to publicly encourage the European Commission to adopt more ambitious measures to curb deforestation. This first six months were a good combination of strong short term delivery and long term vision. The delivery on the financial targets is clear. The strong operational performance that drove sales to reach €9.9 billion and EBITDA to attain €715 million, together with strict working capital management reinforced our cash position. Excluding capitalized operating leases, it was at €407 million by the end of June, already after the dividend payment of €181 million in May. A very brief update on the operating context before going into the detail of the performance. Just to remind you, that Poland and Portugal were under lockdown in Q1 and started to relax restrictions in April while in Colombia, the second quarter had more restrictions in place than Q1, although not so severe as in the same period of 2020. I will focus this update on what changed in Q2. Starting with Poland, in the second quarter, with a pandemic under control and the easing of restrictions, the environment gained some normality and circulation of people was significantly resumed. This context together with positive consumer demand favored consumption. Retail store traffic continue to be limited with the number of people inside the stores being relaxed from one person per 15 square meters, to one person per 10 square meters by the end of June. In Poland, food inflation increased from 0.6% average in Q1 to 1.6% in Q2. In Portugal, restrictions were also lifted or relaxed, depending on the risk level of the municipalities. Nonetheless, the limit to the number of people inside stores and restaurants combined with limitations to the opening hours continue to hamper the activity. Food inflation declined, having been muted in Q2. In Colombia, in the second quarter of the year, restrictions to manage the pandemic crisis became more frequent, particularly in April, though measures were less strict than in 2020. Social unrest in May also brought constraints to the normal functioning of the supply chain, having contributed to an increase in food inflation in the country. Looking now at the P&L for Q2, a couple of notes I would like to share with you. Top line growth was strong at every banner. But growth rates were particularly high in the Portuguese and Colombian businesses that in Q2 20 were strongly impacted by the COVID-19 outbreak. With regard to gross margins, the positive margin mix which was enhanced by an easier comp against Q2 20, when the unexpected beginning of the pandemic impacted the basket mix in the three countries, helped to mitigate the pressure of the retail tax implemented in Poland. EBITDA margin increased by 60 basis points, driven by the recovery of the operational leverage in Pingo Doce and Recheio and the delivery of the cost restructuring done in Colombia in 2020. Below operational performance, net earnings evolution also benefited from a favorable movement in the other profits and losses heading. I remind you that in Q2 20, this heading was at minus €16 million, mainly due to the closure of the pharma business in Poland, and following the effects of the pandemic, the booking of provisions for Recheio receivables, and Hebe stocks. The healthy profile of our first half P&L with sales increasing by 6.3% and EBITDA, growing by 12.6% reflects the quality of Biedronka's business model and execution that were able to offset the pressure of the retail tax, the successful work of Pingo Doce and Recheio in fighting against the impact of the restrictive measures and the lack of tourists to recover sales and EBITDA, the consistent good performance Ara that also benefited from an improved cost base. The net financial costs declined from €96 million in H1 20 to €74 million in H1 21. Remember, that in the 2020 figures included a foreign exchange loss of €14 million that in H1 21 was positive in €3 million. Cash flow generated in H1 21 reached €82 million driven by stronger EBITDA and better working capital flows than in 2020. With regard to working capital in H1 20 funds generated were negatively impacted by the lower growth and an adverse calendar effect. The strength of the balance sheet is intact, even further reinforced by the cash flow generation capacity of the different businesses. The CapEx reached €200 million with all banners delivering on expansion as planned. Biedronka added 53 locations from a plan, 100 for the year, 39 on a net basis. Ara, their plans to open more than 100 stores in the full year, has open 41 in H1. With regard to refurbishments, Biedronka, which runs the biggest program in the group has remodeled 153 stores as part of its plan to revamp up to 300 in the year. We will see an increase in CapEx in H1 as more stores will be open and logistics developments will be accounted for. Moving now into the details of the operating performance, starting with sales. Sales growth was the driver of the strong performance registered in the first six months of the year. Reflecting the quality of our banner's value proposition like-for-like in H1 reached 6.6%. Currency devaluation that impacted H1 performance was softer in Q2. When splitting sales performance between Q1and Q2, we see that Q2 was boosted by growth in Portugal in Colombia, both of the countries severely hit in Q2 20 by the COVID-19 outbreak. We also see the impressive ability of Biedronka to keep reinforcing the preference of Polish consumers quarter-on-quarter. Biedronka sales increased by 9.8% in zloty and 6.8% in euros to reach €7 billion, like-for-like accelerated in Q2 as a result of Biedronkas ability to continuously adjust to market circumstances, having also benefited from a combination of variables that in Q1 were quite favorable, reopening of the economy, with good control over the pandemic situation, positive consumer demand and good weather in May, June, providing extra opportunities. In this overall positive context, on top of a strong price positioning and an evolving offer, the banner build strong and innovative campaigns to maximize sales opportunities and strengthen consumer preference. Hebe sales increased by 10.4% in local currency, 7.3% in euros, excluding the pharma business which was discontinued in July 2020, top line was up by 23.4% and like-for-like was at 17.7% also including online sales. E-commerce continued developing well and represented 14% of the banner sales in the period. Hebe is already running tests through its e-commerce platform to conclude on the potential of new markets outside Poland. Pingo Doce sales reached €1.9 billion, a growth of 4.6% over H1 20. The base of comparison became less demanding from March onwards, and the company grew strongly in Q2 with like-for-like excluding fuel at 7.3% despite all headwinds, restrictions still in place, low circulation of people and constraints imposed on restaurants and coffee shops activities. Pingo Doce reinforced its commercial dynamic and maintained the quality offer for which it is recognized, driving volume growth, and a good financial performance despite basket deflation across the period. With the lack of tourists and severe restrictions on HoReCa channel, particularly in Q1, Recheio fought hard to offset the losses on top line until March. In Q2, the banner delivered a like-for-like growth of 21.1% benefiting from the reopening of the restaurants and coffee shops against a period of lockdown in 2020 and managed to end the half year with flat growth on sales. In Colombia, Ara performed consistently well, despite the market conditions that were more challenging in Q2. Sales in local currency grew 20.9%. In euro terms, sales increased by 11.9%. The like-for-like swing between Q1 and Q2 reflects the comparison with 2020 when the impacts of the pandemic hit the performance as from April. Group EBITDA reached €715 million, 12.6% ahead of the previous period, at constant exchange rate a 15.5% increase. This sound performance was driven by strong top line growth and all its benefits on operational leverage, enhanced by the efficiency programs rent in all companies, and also lower COVID-19 related costs. EBITDA margin for the group in the first half increased from 6.8% to 7.2%, driven by the excellent work done by Biedronka to grow like-for-like, improved margin mix, maintain cost discipline and increase efficiency. The banner delivered on all fronts, and was also able to contain the negative impact of the new retail tax. The hard work of Pingo Doce and Recheio to recover sales under difficult market conditions paid off in improved margins due to operational leverage. Ara's good sales performance, which together with an optimized cost structure, allowed for a significant improvement at EBITDA level. The first six months of performance confirms that Ara banners are delivering well as a result both of their dynamic business models and competitive value propositions which are recognized by consumers and also of their proven resilience. All banners are prepared to continue delivering and generating cash flow. The strength of our balance sheet supports our capacity to further invest to reinforce our competitive position. Despite ongoing uncertainty about the full impact of the pandemic on the economies where we operate, we enter H2 confident that our businesses are in good shape to deliver on their strategic priorities and continue growing while preserving profitability. I finalize by confirming the outlook for 2021 as disclosed on our 2020 full year results presentation, and reiterated in April. Thank you for your attention. Operator, I am now ready to take questions.
Question-and:
Operator: Thank you. [Operator Instructions]. We're taking our first question from the line of Andrew Gwyn of Exane.
Andrew Gwyn: Good morning. How are you doing? Just a couple of quick questions. So firstly, obviously we had turnover tax introduced in Poland. So I'm just wondering, is it your sense that that now has been pretty much fully passed through to the consumer? And the second one is sort of a bit of a boilerplate question at the moment but really around the cost outlook. We're obviously seeing very high levels of cost inflation, washing around we're some pressure on supplies. I'm just wondering how you're seeing cost inflation at present and what you would anticipate in the second half of the year. Thank you very much.
Ana Luísa Virgínia: Thank you, Andrew. And so on the turnover tax in Poland, in our case, I think that we cannot conclude that we are passing that to the consumers. It's this, as I've always said, taxes have systemic effect on the whole economy, I believe that probably some players will have to pass it directly for the consumers, but what the performance of Biedronka shows and I can tell you that the company operated in deflations during this period of around 1%. So what that shows is that we maintain competitiveness, and that is not shown, so the passing of the retail tax did not affect our consumers or this is not what passes from the performance. Nonetheless, I think what the company did or was able to do in preparing itself, not only from the cost point of view, but in managing its sales and margin mix, introducing a lot of innovation in the offer, and putting relevant promotions in place to really have the operational leverage kicking in and compensating for the retail tax, was really quite remarkable in my opinion. As for the cost outlook, we don't hide, I think that we even anticipated and we always flag that there would be inflation particularly on the personal heading and also on energy. We are now also having some pressures seen in the market from raw materials inflation and these of course, may affect not only the difference, the cost of the product sold, but also the cost of the materials for the refurbishments, etc. So this is different pressures on different levels. But that's what our companies are doing, is really to try to accommodate in terms of efficiency to compensate for that. And to, as we said, maintain profitability. Of course, the best way to protect profitability is getting sales. And so competitiveness at price level and the quality of the offer will continue to be paramount to compensate, and to continue to deliver profitability. But as I said, this is what we expect in all our businesses for the year.
Andrew Gwyn: And so just for Poland, are you able to quantify loosely where cost inflation is, just give us a sense through the differential you're running?
Ana Luísa Virgínia: So what I said is deflation is or inflation in this case is mainly on personal costs, at this point and on energy. What we feel is some pressure also on the cost of goods sold but, as I said, what we are going to do is making sure that we maintain quite competitive to compensate for that on the operational leverage.
Andrew Gwyn: Okay, perfect, all very clear, as always. Thank you.
Ana Luísa Virgínia: Thank you, Andrew.
Operator: We're now taking our next question from the line of Rob Joyce at Goldman Sachs.
Rob Joyce: Hi, good morning. Thanks for taking my questions, just three. Just to follow on from your last point on but just to clarify on the Polish margin from here. We still think the sort of despite all of those different cost pressures you mentioned and the retail tax, we still think of broadly flat margin is a good target for this year on I think a pre-IFRS basis or probably slightly down, on IFRS. That's the first one. Second one, just on Ara, just trying to piece together all the different bits of information there. But how do you feel the trading condition is now in the third quarter and going forward? Are they more favorable than you'd say in aggregate versus the second quarter? Or we're looking at a third quarter, which is going to be incrementally more challenging. And then the final one is, you mentioned quite a few times, and clearly from the numbers, the balance sheet is in a very strong position. How do we look at your sort of preferred use of cash? Should we be looking at special dividends? And are you still looking at acquisition opportunities? And can you maybe give us a little bit more detail if you are, as to where they are and what type of assets they might be? Thank you.
Ana Luísa Virgínia: Good morning, Rob. And so as for the bullish margins, what we always said, so I think it's possible, continues to be quite challenging. But we think it's possible, what we do really is making sure that we invest properly, in order to maintain the competitiveness. As I've already stated, this is really what is paramount is guaranteeing that growth compensate for any pressure on the cost. So on saying that we think it's possible to maintain it, despite being challenged. But as it has shown until the first half, the company was able to deliver this. And on Ara, I think that we mentioned, there are two, of course, we don't hide and although that doesn't take any merit from the team's work. But we don't hide that last year with a full lockdown that affected the country for more than six months, we are having now a more favorable comparison base, so a less demanding comparison base. And, as you know, the like-for-like both in the second and in the third quarter were quite low last year against what we expected due to that full lockdown. So I would say that for Q3, we still expect to be somehow benefiting from that. This being said, the most important in Ara's performance is not only the fact that they have really maintained despite all the social unrest. They've - and even the pressure on inflation, the company has a very important gap to price inflation. So we are now having a gap of more than five percentage points. And so competitiveness has increased in Ara. And that has been quite important in capturing new consumers. And that together with the cost structure that has been optimized due to the restructuring that took place in the second half last year, I think it will definitely be very important on the performance for the full year. So I think that the company will be able, as I flagged to deliver a very good performance, we are not seeing the same kind of restrictions that we saw last year. So we think also that our expansion will not be hampered. And in this case, so I think that this will be more, not so many headwinds as in last year, and a much more prepared company to deal with the pandemic constraints and with the fact that the economy in Colombia is suffering from the pandemic, definitely.
Rob Joyce: And on Colombia [cross-talk] -
Ana Luísa Virgínia: [cross-talk]
Rob Joyce: Just sorry to interrupt, but is it now - are we in a position now we can start thinking about what the longer term margin structure might look like, in Colombia? We're able to start thinking about getting back to giving some guidance maybe on where we can get to comparing maybe with the Biedronka margin we see.
Ana Luísa Virgínia: I think well it's a little bit too early to give that guidance. Or long run, of course, our ambition is always to get that and so we are working really to have a sales density that may allow us to really have a great operational leverage and be able to deliver the same margins as Biedronka. That will be always the ambition, but for now, it's still too early to give guidance on that. On the balance sheet, so the preferred use of cash is to finance growth. We think this is the relevance and growth being the basis, not only of the profitability for the company, but even for the purpose of the company. So we think that we always say that that being relevant or maintaining the relevance for our employees, our consumers, our business partners and the community that we serve, the best way to do it is through growing sales and being relevant really for all of them. So to finance growth is our best opportunity and alternative. This being said, any - of course, if the growth opportunities will not be totally taking advantage of our financial position, we never rule out an exceptional dividend. But that would be of course, a board decision depending on the extra opportunities that may appear and the ones that we find valuate accretive.
Rob Joyce: And are you seeing those growth opportunities to spend at the moment?
Ana Luísa Virgínia: I think that the pandemic also brought some opportunities, but we will not comment on any of those, at this time.
Rob Joyce: Okay, thank you very much.
Ana Luísa Virgínia: You're welcome.
Operator: We're now taking our next question from the line of José Rito at CaixaBank.
José Rito: Yes. Hi, good morning to all. So the first question on Biedronka. So we witnessed a strongest [fruition] on like-for-like performance in Q2. Can you elaborate a little bit what has been the main drivers for these? You mentioned the weather and what other drivers could explain the strong performance in Q2? And if this momentum could be possibly extrapolated into the coming quarters, at least in terms of volumes, I mean. The second question on the gross margin. We saw a catch up on the gross margin at the consolidated level in Q2 versus what was Q1. I suppose this has been driven by all regions and but I would like to have some additional details, if possible. And final question on Justo y Bueno in Colombia, any insight of what should be the end game for this player? Thank you.
Ana Luísa Virgínia: Thank you. So on Biedronka, this acceleration, of course, I think I mentioned that even in my introductions. So it's not just the weather, of course. We think that the weather has this or induces a positive sentiment also on the consumer. But we saw a consumer favorable demand in the second quarter definitely. It appeared with the second quarter of 2020, so and as consumer confidence is at a higher level and the consumer is still reacting quite significantly to all our actions. This being said, I think that the main driver really was all the dynamic that the company put in place, not only launching quite successful new products, so a lot of innovation also on the assortments to really capture this more positive or more favorable consumer demand and also more relevant promotional campaigns. So we did increase our level of promotions by more than two percentage points versus last year. And so this acceleration is definitely a mix of the consumer more, or the reaction of the consumer, but also and definitely of the dynamic and the commercial campaigns that were put in place by the company. And in terms of - if this is going to be maintained. Of course, it's true that all the comparables and particularly in Biedronka, for the next two - couple of, of course this will be more difficult or more demanding. We don't hide that but this being said, we think that at this point, we don't see any reason for the consumer. It's true that also depends on the pandemic and on its evolution with the new variants. But we don't see, at this point, a consumer that that is standing to be less positive. We still have some challenges also, namely, - not only, we don't have only the inflation we also have deflation and we are seeing that in quite significant parts of our assortments, namely, in fresh. So in fruits and vegetables and in meat and but we also have the positive effect of inflation in the salaries. So people have more available income and that helps also in the top line. So for the next quarters, we continue to be quite positive, despite some headwinds also. On the gross margin, so this was driven basically. So the only business that didn't grow gross margins versus last year was Biedronka. But that was already expected, considering that they had the retail - the pressure from the retail tax. But all the other businesses were able really to both an increase in its gross margins and contributing for the performance and for the number that you see at the consolidated level. As to Justo y Bueno so what we know and its public is that they are in a restructuring process, so in some financial distress, but we don't comment on any of the situation of our competitors. And so no novelty on that front from our part.
José Rito: But has this player been more, let's say, soft from a competition point of view?
Ana Luísa Virgínia: I don't think so because the environment is quite tough in Colombia. What we think really that drives the performance of Ara is really the fact that it has attracted more consumers, because it's really providing, a very competitive offer. And it's really trying to stop inflation which is heavily hitting food inflation, as you can imagine, with the way that the households were affected by the pandemic in terms of income, it's quite paramount to maintain competitiveness. And I think that Ara is really managing in a very balanced way the prices to really become much more relevant to the consumer, so it's been able to attract more consumers to the stores. I think it's more than the other situation is really Ara's merit, the fact that they are being able to increase sales versus other competitors.
José Rito: Okay, understood. Thank you.
Operator: We're now taking our next question from the line of James Grzinic at Jefferies.
James Grzinic: Good morning Ana Luisa. I had a couple. Really, the first one, sorry to press you, following on, from Rob's question from Colombia, if you can provide us any more context. I mean, obviously Colombia is still at very, very loss making level. So, firstly, I wanted to clarify, is it just a matter of building sales densities that resolves that? Are you happy with the sales mix? How important is the overall skill build to really getting a proper return on that investment in Colombia? And I don't expect you to share views on timing, but I presume the board has a very clear view of what it wants EBIT to look like in Colombia, given that there's still a lot of incremental investment going to - into the business. So that was really the first one. And the second one, can you perhaps update us on where you are in terms of relative price competitiveness in Poland at the end of Q2? Thank you.
Ana Luísa Virgínia: Thank you, James. So in Colombia, it's true its loss making and, and we expect really, and of course, we had some headwinds that avoided or make it more challenge to attain our objective which was to present a positive EBITDA, pre-IFRS 16, this year or next year. But I think it's still possible, so its loss making, but as you probably saw from the numbers, there is really a very big improvement done by Ara. That's, I would say the first, one of the reasons is, of course, a different cost base. But the most important is, as you said, I think that's what we are doing is really building up a sales density that we expect and so the board expects and believes really, in the - not only in the ability of the company to grab the opportunity, because we see it intact in proximity and in the market. And so, the idea really is that the operational leverage can kick in and with that, of course, asset turnover will be much higher, and even if margins may not be the same as Biedronka, although the ambition is that they could be, we will be having a quite important return on invested capital. So the idea really is to reach that, of course, and we are working to have it as fast as possible. And it's true that it was very challenging to start a business from scratch, we knew that that would be challenging. But I think that everyone now believes that Ara is really reinforcing its position in the Colombian market. We have now the suppliers really willing to bet on us and to grow with us. And it has been quite paramount to also build the gross margins and it will be very important in having a profitable company in the future. And in terms of where we are in price gap, so no big difference at this point. So Biedronka continues to maintain a gap not only for the hypermarkets which is higher than 10%, but also from - for the other discounters. We think that on foods that is really paramount to maintain the competitiveness and we are willing to invest, to have - to grab sales and not to lose competitiveness in the bullish market.
James Grzinic: Can I just ask a follow up on Columbia? On that asset, are we - is that sort of 20%, I guess 20% to your stack, the clean picture, the sort of asset when you really need to build, so density is at the appropriate level, do we need to go significantly higher than that?
Ana Luísa Virgínia: Overall, I think we are almost there. Now, I think that we have still and we have been building also on the margin, of course. So I think that on the asset turnover, we are on track. On the margins, there was some, as I said some setbacks, because of course, of all the situations. But we are picking up on that, of course.
James Grzinic: That's correct. Thank you. Bye.
Ana Luísa Virgínia: Thank you, James.
Operator: We are now taking our next question from the line of João Pinto at JB Capital.
João Pinto: Hi. Good morning everyone. Thanks for taking my question. Regarding the gross margin growth this quarter, you say that part of this was done by an easier comparable regarding sales mix. And for the second part of the year, do you expect pressures on gross margin to remain low like in the second quarter, or they should increase as the comparable price is not as easy? And my second question, I assume that the OpEx to sales ratio has not fallen as much as it is in the first quarter. In Poland, even the gross margins did not fall as much and EBITDA margin was stable. Can you give us some color in the decline in OpEx to sales decelerated from the first quarter to the second quarter? And that's all.
Ana Luísa Virgínia: Thank you, Joao. So on gross margins, and of course, it will be more demanding, we don't hide that. Because as we said, the gross margins in Q2 2020, was highly pressured as even on the uncertainty and instability so the companies invested to really keep and grab sales that were being under pressure all over. So that's really effective. This being said, the company's what they are doing is really to maintain the level of dynamism and new campaigns and even adjusting the offer to have the best sales and margin mix to be able to offset the further pressure that it may, - they may feel. On the OpEx decline, of course in Poland, as you remember, last year, not only we had more COVID costs related. So that has been much softer in this quarter. I would say that for the remaining quarters, we will also, I think that the COVID costs are already incorporated in most of our contracts from cleaning to safety and all of that. So but see these things has, overall for the full year, what we really expect is that the operational leverage will play a role and so relevant sales will be able to continue diluting the cost.
João Pinto: That's great. Thank you.
Ana Luísa Virgínia: Yes, Joao.
Operator: We're now taking our next question from the line of Cedric Lecasble at Stifel.
Cedric Lecasble: Thank you for taking my questions. Actually, I have two. The first one is on the way you manage your basket inflation with an increasing gap in Colombia between food inflation and your basket inflation, still quite a material gap in Poland. So the question on Poland is really, how do you manage your basket inflation? How do you arbitrate between, profitability and market share? Could you update us on your market share evolution? And down to the world's biggest picture, question is, how do you think your profitability in Poland would be like, three years from now or mid-term versus pre-retail tax profitability? Do you see some players suffering? Do you see some players that are pushing high prices up giving you another advantage? How do you see things, after all this settles down and the dust settles down in one year or two years? And the follow up question on Columbia, which is more or less linked to this one is, are you trying to recruit customers in Colombia over the next, let's say 12/24 months? Would you continue to put pressure on your prices to recruit more and more clients, improve sales density and should we have like, kind of muted profitability profile over the next two, three years, and suddenly an acceleration where you are where you are and where would you want to be in terms of sales density? Thank you, very much.
Ana Luísa Virgínia: Thank you, Cedric. So in terms of the basket inflation, of course, the basket inflation compares the same products. As we are also introducing innovations and, in some cases, putting further promotions and on some of the products, it's quite difficult to manage, but what we use really is that possibility to offset in terms of the sales mix, to offset the deflation. So it's really playing with novelties, with different products, with promotions and that brings a lot of relevance and compensates, of course, for the fact that in the same periods - in different periods with the same product, being still investing on those products, that of course, we should not be in any way uncompetitive. And so that's overall, not only in Poland, that happens in Portugal and in Colombia, of course, the consumer reaction is different because the consumer, also and confidence is also different in the three economies. In terms of trying to arbitrate between profitability and market share, I think we never hide - we were always very clear that the first priority would be sales. And of course, that is probably that would translate in market share. But the idea and we think it's possible, with all the initiatives that we are taking, not only at the commercial level, but also at the efficiency level on the cost, to preserve the profitability. So no, we don't want to increase our margins, we really want to leverage on those to maintain the relevance at the top line, because we think really, what pays off is what we usually call the operational leverage. It's really by increasing sales, we dilute costs, and we maintain relevance with the consumer. And so it's not really and it's - it can be a difficult balance, as you can imagine, particularly if the consumer does not react but that's the way we see it. We think that growth is the main leverage in terms of profitability for the company. So it's going to be or continue to be the priority. Sorry, Cedric.
Cedric Lecasble: No, no, sorry, Ana Luisa. Thank you for your answer. Just two positions, so, first one, so down the road, what you would be targeting would be like similar profitability as in the past before? So absorbing the introduction of the retail tax, but with all these measures, and keeping profitability more or less where it was before the introduction of the retail tax. And could you please, if you have any data on market share, the most recent data in Poland of datas on market revolution?
Ana Luísa Virgínia: Okay. So on that Cedric, so we keep of course, and we are - the company is working to, as we said, preserve profitability in terms of margin. But as I said, if we are able to, by investing more to have higher asset turnover, so our return on invested capital, that is even higher. That is the priority, is really on the top line, as I said. In terms of market share, year-on-year, Biedronka until May, which is the last numbers that we have, has increased its market share by 1.7 percentage points, so, May 2020, year-to-date to year-to-date May 2021.
Cedric Lecasble: Thank you.
Ana Luísa Virgínia: On the profitability in Poland, so, it's not a secret that the market is changing, and you know that some players so are leaving the market, other players are going in. Usually, on most or more hard discount kind of type, on the more proximity. So, you continue to see all players that decided to stay in the country to increase their networks and their footprints in Poland to grab the growth opportunity in the market. So, I think that we still expect a lot of pressure but you have, it's true, you have Tesco, we don't know. Recently, there were some rumors that Carrefour might leave the country. But, so in two, three years' time, I would say that Poland continues to be a very attractive market for some. And probably for others, it will - they will feel the pressure, particularly if they cannot adjust their format, or they are not operating in the right format, to really meet the needs of the Polish consumer.
Cedric Lecasble: Thank you very much, Ana Luisa.
Ana Luísa Virgínia: I think that Biedronka has proven that they have been evolving continuously with the consumer. In the case of Ara, it's true that we are recruiting consumers and trying to increase our number of tickets, because we keep investing in our prices. And we are really currently in terms of the products that we offer, which is a limited offer, as you know. But in terms of the profits - the products that we offer, we are very competitive. And that has been quite important in a much more price sensitive consumer. Considering the current context, that it has been quite important in having new consumers in the stores buying our products and of course, being able to increase the sales density of each store and so I think that's probably what we expect. We were not so sure when the pandemic kicked in, but what we are seeing now is the consumer reacting, the government apparently, is not putting so restrictive measures to fight the pandemic. I think that they are not really wanting to - the economy to be closed again, because that hampers significantly the socio-economic context and this being said, I think that we will be able to maintain our best path of growth and resume our way to profitability.
Cedric Lecasble: Okay, thanks a lot.
Ana Luísa Virgínia: Thanks you Cedric.
Operator: We're now taking our next question from the line of Xavier Le Mené at Bank of America.
Xavier Le Mené: Yes, good morning. Thank you for taking my question. Two, if I may. The first one actually on Portugal, we have seen the profitability still could be below where we were in 2019 but should we expect actually the profitability to go back to where it was before? Or do we say that you will exit the pandemic with potentially more costs and potentially lower density, which potentially mean that it will take a bit more longer to get back to where you were in terms of profitability in Portugal? That will be my first question. And second, a follow up on Colombia again, so and back to James, your question about the sales density. So you mentioned that you reached already the sales density potentially in Colombia to hopefully get to breakeven soon, but do you need also to increase your network? So do you need more stores to potentially increase the profitability going forward? And linked to that, do you see that actually making potential acquisition in Colombia could simply can be, step up your footprint and then your overall profitability? So it's also a question of two density overall, or back to the initial point you just sales density [indiscernible]?
Ana Luísa Virgínia: Thank you, Xavier. So on the profitability for Portugal, so what we believe really is when things are, I wouldn't say probably back to normal, but in terms of the circulation of people, this is fair amounts of traffic. And all the consequences that go with it for both Pingo Doce and Recheio were quite important. So Recheio, as you can imagine having the restaurants, the hotel, so the lack of tourists was really - or hits very significantly, the company's performance at top level. And but it also affected Pingo Doce because they have restaurants, they have coffee corners. So while there will be restrictions in terms of the circulation of people, I think that we will see some pressure on sales and hence on the profitability of the chains. But this being said, what we believe is that things will improve, and the companies have been working on not only on their offer or on the way that they are organized, to make sure that they get back to the levels of profitability that they had before. We think that that is possible in everything in Portugal. It will take some time, particularly in Recheio more than in Pingo Doce because of that dependence on your [direct] channel. But this being said, we think that's - this is still a possibility so to get to the levels of profitability that we had and it's what we are trying to build as fast as possible. But again, top line will be paramount for this. We can do and we are doing everything that we can at the cost level with more efficiency with working on the logistics, on the supply chain, on the on the different ways that we work. But top line is going to be very or definitely the key driver of possibility. So in Colombia, it's really the way that we see it, yes, we think that we should have more stores to grab the potential. But we also think it's possible to reach breakeven with the stores that we have, if we have the right sales density. So we don't need an acquisition to really leverage the current store network. And so we think that we can reach breakeven, even with the current footprint that we have.
Xavier Le Mené: Thank you. That's very helpful.
Operator: We are now taking our next question from the line of Maria-Laura Adurno at Morgan Stanley.
Maria-Laura Adurno: Thank you very much for taking my questions. With respect to Hebe, what is the percentage of sales is generated in-store versus what is generated online? And the second question that I had coming back to the Colombian market, there's been some - also some shifts in dynamic over there with some players, which are weakened financially. Is your strategy still to very much grow organically in that country? And then more broadly, you had previously mentioned, interest in potentially expanding into other countries in Eastern Europe. I'm just wondering where your thoughts are on this front. Thank you very much.
Ana Luísa Virgínia: Hi, Maria-Laura. And so on Hebe, the online sales accounted for 14% of our turnover in the first half. And we think it will continue to be relevant, although we know that it also is influenced by the lockdown and the closure of the shopping centers.
Maria-Laura Adurno: Is it?
Ana Luísa Virgínia: We think that the - apologies, what? Yes.
Maria-Laura Adurno: Sorry, is it 14 or 40%? Sorry.
Ana Luísa Virgínia: No, 14 - 14, one-four. So still, the stores are quite relevant. It's 14. Okay?
Maria-Laura Adurno: Thank you.
Ana Luísa Virgínia: Okay. And then so on the Colombian market, our first priority, of course, and we never hide that, is to grow organically, to have the right spots and the right store formats that we can operate under our business model. And so basically, and as I already said, it is what we think and we are batting in really becoming more relevant. The fact that, I think that it is up to the company to continue to be as competitive as possible to attract the consumers and to be relevant to the consumers. And that of course, if that will affect some of the players, I think that the main issue was really the pandemic, at a certain point. But for us what is really paramount at this stage is to maintain that relevance to the consumer, to be - by the size of our clients, that's really, saw their income decrease over the pandemic and the main priority is to grow - is to continue to grow organically on that market. In Eastern Europe, we continue to monitor the markets. We don't hide that, that we are doing that. And if we see a growth opportunity, of course, we will look at it, we don't hide, but we don't comment on or give any details at this stage.
Maria-Laura Adurno: Thank you very much.
Ana Luísa Virgínia: Yeah, Laura.
Operator: Thank you. There are no other questions on the line. Please continue.
Ana Luísa Virgínia: So thank you all for your questions and for attending this conference call. In H1 and particularly in Q2, we maintained a strong cash generation leveraged by Biedronka's performance and by the progression of the remaining businesses that were able to overcome the challenges in their respective markets. Conscious that environment wise, the way ahead can still be bumpy. And that comps will start to be more demanding. We are confident that the flexibility of our business models will allow us to live up to our strategic priorities, to grow sales, to protect profitability through efficiency, and to responsibly engage with our people, our consumers, our suppliers and remaining business partners and the communities that we serve. Thank you again, and I wish you all a nice day.